Operator: Ladies and gentlemen, thank you for standing by and welcome to the CBL & Associates Properties, Inc second quarter earnings conference call. During the presentation all participants will be in a listen-only mode. Afterwards, we will conduct a question and answer session. (Operator Instructions) As a remind they are conference is being recorded, today Wednesday, August 4, 2010. I would now like to turn the conference over to Mr. Stephen Lebovitz, President and Chief Executive Officer. Please go ahead, sir.
Stephen Lebovitz: Thank you and good morning. We appreciate your participation in the CBL & Associates Properties, Inc. conference call to discuss second quarter results. Joining me today is John Foy, CBL's Chief Financial Officer and Katie Reinsmidt, Vice President, Corporate Communications and Investor Relation who will begin by reading our Safe Harbor disclosure.
Katie Reinsmidt: This conference call contains forward-looking statements within the meaning of the federal securities laws. Such statements are inherently subject to risk and uncertainties many of which cannot we predicted with accuracy and some of which might not even be anticipated. Future events and actual results financial and otherwise may differ materially from the events and results discussed in the forward-looking statements we direct you to the company’s various filings with the Securities and Exchange Commission, including without limitation the company's annual report on Form 10-K and management's discussion and analysis of financial condition and results of operations included therein for a discussion of such risks and uncertainties. During our discussion today, references made to per-share amounts are based upon a fully diluted converted share basis. A transcript of today's comments, the earnings release and additional supplemental schedules will be furnished to the SEC on Form 8-K and will be available on our website. This call will also be available for replay on the internet through a link on our website at CBLProperties.com. This conference call is the property of CBL & Associates Properties, Inc. Any redistribution, retransmission or rebroadcast of this call without the express written consent of CBL is strictly prohibited. During this conference call, the company may discuss non-GAAP financial measures as defined by SEC Regulation G. A description of each non-GAAP measure and a reconciliation of each non-GAAP financial measure to the comparable GAAP financial measure will be included in the earnings release that is furnished on Form 8-K.
Stephen Lebovitz: Thank you, Katie. Last night, we welcomed over 120 retailers to our 14th annual connection event in Chattanooga. We experienced a 25% increase in retailer attendance this year including quite a few new retail names such as cotton on, clarks, aerosols, route 21, complete nutrition and others. This event has been an extremely successful leasing tool over the years, proving us with a great opportunity to turn conversation started at ICSE's recon into signed deals. We recognize that the leasing environment remains challenging and macro-economic trends have been inconsistent. However, we are encouraged by the continuation of positive sales growth, the limited retail bankruptcy activity and the retailers' ability to maintain their improved operating margins. In part because of the strong relationships we enjoy with our retail partners we have been able to achieve market improvement in our occupancy rates. Our portfolio occupancy advanced 160 basis points and stabilized mall occupancy improved by 100 basis points compared with last year. Contributing to this growth was the released box locations taking occupancy in the associated center and community center portfolio, as well as specialty stores continuing to fulfill their expansion plans and sign new deals. Our occupancy improvements this year are an indication of the demand that we are receiving from retailers and their desire to locate in our dominant properties in each market. During the second quarter, we signed nearly $1.3 million square feet of leases including $1.2 million square feet of leases in our operating portfolio with the balance in new development. The leases signed in our operating portfolio included 725,000 square feet of new leases and 480,000 square feet of renewals. While we are far from satisfied, we are encouraged that leasing spreads will improve as we move into the second half of the year. On a same space basis, rental rates were signed at an average decrease of 10.9% from the prior gross rent per square foot in the second quarter. We point out that the expiring rents per square foot were about 7% higher on stabilized malls than the first quarter expirations. There were a few deals that disproportionately impacted our results this quarter that we thought notable enough to mention. We sign nine leases totaling approximately 70,000 square feet with two national a pair retailers this quarter. These nine deals negatively impacted our mall average leasing spread by nearly 4.5%. The leases turns on these spaces are two years or less as we intend to back fill the locations at market rents. We are continuing to sign shorter term deals where the rents are below where we would like to see them but with less frequency. This quarter roughly 40% of the deals had terms of three years or less compared with 60% in the first quarter and roughly 70% in 2009. We are pleased by this trend and excluding the nine deals feel the lease signings this quarter overall were healthier than in prior quarters. We are hopeful that lease spreads will improve through the year as retail demand grows and sales gains continue. Same store sales showed improved during the second quarter. Year-to-date, we posted a 2.1% increase compared with the prior year. We are optimistic that the positive trends will be sustainable for the remainder of the year with ICSC and the NRF predicting healthy same store gains from the back-to-school shopping season and with retailers keeping a close eye on their inventories. Store closures due to bankruptcy have been limited year-to-date compared with historic averages. The only major retailer in our portfolio to file for bankruptcy protect in this year is trade secret. We anticipate five stores closing, as a result of their bankruptcy representing $266,000 in annual gross rents and comprising 5,000 square feet. During the quarter, we completed the sale of our 50.6% interest in Plaza del Sol, a 260,000 square foot shopping center in Del Rio, Texas. We are continuing to explore opportunities to dispose of non-core properties where we see attractive cap rates. Many of you have seen the reports in the press on six ranked centers that in the process of marketing. The centers include Settler’s Ridge in Pittsburgh, Milford marketplace in Milford, Connecticut, West Towne Crossing, Madison, Wisconsin, Oak Hallow Mall in High Point, North Carolina, Westridge Square in Greensboro and EastGate Crossing in Cincinnati. Given the amount of recent interest and activity in the grocery anchored space, we thought it would be a good time to test the market with these six centers. They’re all well located highly productivity centers with average occupancy in the mid 90s. Since the process is ongoing, it would not be appropriate to discuss any additional details related to pricing or timing, but we have received strong interest and believe prospects are promising. This week we commenced construction on second phases of our centers in Burlington, North Carolina and Pittsburgh, Pennsylvania. In 2007, we opened Aleman crossing and have now started construction Aleman’s West the 210,000 square foot second phase. We have executed documents with the anchors which include a wholesale club, exporting goods store and an 80,000 square foot fashion anchor. Aleman’s West is scheduled to open fall 2011. We are also starting construction on a 78,000 square foot expansion of Settler's Ridge which we opened last year. The project will include Michael's Ross dress for less and an additional junior anchor. The project will also open next spring. The initial pro forma returns on both of this development are very healthy in the 9% to 11% yield range on an unleveraged basis. Construction is also progressing on our ground up development in Madison, Mississippi, the first phase of this 75, 25 joint venture community center project includes 110,000 square feet comprised of three boxes, Dick's Sporting Goods, Best Buy and Stein Mart. The project is 100% leased and is scheduled to open later this year. I’ll now turn it over to John for the financial review.
John Foy: Thank you, Stephen. The strength of the credit markets over the past few months has improved considerably, including the reemergence of the CMBS market. In June, we announced almost $300 million of financing activity at a weighted average interest rate of 6.58%. We closed five separate non-recourse loans including three CMBS loans and two institutional loans. In total this financings generated net access proceed of $51.5 million. In July, we paid off Parkdale mall and Parkdale crossing in Beaumont, Texas and contributed the properties to the collateral pool for your $560 million credit facility. It was encouraging to receive the more reasonable appraisal valuations on our most recent financings than what we have been experience a year ago. We have three remaining permanent loans maturing this year secured by Stroud Mall in Stroudsburg, Pennsylvania, Wausau Center in Wausau, Wisconsin and York Galleria in York, Pennsylvania. We expect that Stroud Mall and York Galleria will be paid off at maturity and contributed to the $560 million credit facility. We anticipate refinancing or paying off the Wausau Center at maturity. Last week we completed the extension of modification of our $105 million secured line of credit through June, 2012. This facility was scheduled to mature in June 2011. It has been our practice to negotiate an additional one year extension of the facility each year. The terms of the facility stayed substantially the same, maintaining the current interest rate of 300 basis points over LIBOR with a rate floor of 4.5%. As of June 30, 2010, we had more than $550 million available on our lines of credit. Our financial covenants remain sound with a debt to GAV ratio of 54%. And an interest coverage ratio of 2.3 times for the rolling 12 months. We reported FFO per share for the second quarter of 2010 of $0.49 excluding the impairment of real estate. We have previously talked about Oak Hollow Mall in High Point, North Carolina having negotiated a cash flow mortgage with the lender. This quarter the lender indicated that they would be willing to write down the loan. As a result, we determined that it was likely that we would sell or convey the property to the lender which resulted in an impairment charge of $25.4 million or $0.13 per share. We have entered into a contract to sell the center and the prospective buyer is currently conducting due diligence. In connection with the sale we have reached an agreement with the lender to reduce the $39.6 million loan to equal the net sales proceeds. When we complete the disposition we expect to record a gain on the extinguishment of debt of approximately $27.6 million. When the sale is completed this would provide a $2.2 million favorable impact to FFO for the full year net of the impairment. While we are still in the early stages of the sale, we anticipate that the sale will close and we will be able to recognize a gain before the end of the year. Total same center NOI for the malls in the second quarter excluding lease termination fees declined 2.9% from the prior year period. Portfolio same center NOI excluding term termination fees declined 3.3% from the prior year. As expected NOI is experiencing pressure from the lower rents on leases signed over the last year. As we have previously indicated our expense reduction measures were fully implemented by the second quarter 2009 creating a more difficult comparison. We are optimistic that as traffic and sales continue to increase throughout the year we will gain traction in the lease negotiations as well as benefit from improvements in specialty leasing, sponsorship and percentage rent. Other major variances at this quarter included a $1.4 million decline in bad debt expense from the prior year period. A $5.1 million decline in depreciation and amortization expense which was primarily the result of the decline in tenant allowance write-offs. Our cost recovery ratio for the second quarter was 100.5% compared with 105.8% in the prior year period. Variable rate debt was 18.3% of total market capitalization at June 30, 2010 versus 17.6 at the end of the prior year period. As of June 30, 2010, variable rate debt represented 26.8% of our share of consolidated and unconsolidated debt compared with 21.2% at the close of the prior year quarter. Our variable rate debt has increased over the prior year, as a result to the expiration of $400 million of swaps that were in place in the prior year. As well as borrowings under our $560 million line of credit to pay off certain CMBS mortgages. We have increased our 2010 FFO guidance by $0.05 per share to the range of $1.87 to $1.95 per share. The guidance incorporates the net $2.2 million favorable impact of the impairment of real estate on Oak Hollow Mall this quarter offset by the anticipated gain on the extinguishment of debt later this year. We also adjusted the guidance to reflect savings from the continued favorable interest rate environment. Other major assumptions include estimated gains on outparcel sales of $3 million to $5 million and same center NOI growth of negative 1.5% to negative 3.5%. While we are never satisfied with negative same center NOI, second quarter results were in line with our expectations. We have an optimistic outlook for the remainder of the year and are focused on returning to positive internal growth by maximizing opportunities within our portfolio. As the economy slowly moves forward retailers should be beginning to unveil expansion plans and we are confident that our portfolio will be an important source to satisfy those plans. The stability of our markets and profitability of the stores in our malls is an attractive prospects for retailers as evidenced by our occupancy improvements year-over-year. We expect that to continue and as the supply demand dynamics moves back in our direction overtime, we anticipate our results will benefit from improved leasing metrics. Thank you for joining us today and we appreciate your continued support. We will now be happy to happy to answer any questions you might have.
Operator: (Operator Instructions) Our first question is from the line of Todd Thomas with KeyBanc Capital Markets. Please proceed with your question.
Stephen Lebovitz: Hey, Todd.
Todd Thomas – KeyBanc Capital Markets: Good morning. I'm on with Jordan Sadler as well. A couple of questions. Have you notice a change in the behavior or willingness of retailers to sign leases in recent weeks given some of the soft economic data recently?
Stephen Lebovitz: We actually haven't notice any change in the mentality of retailers about signing leases or any indications. I think over the course of the year retailers have gotten more comfortable that the economy has, kind of, hit bottom and that it doesn't have further downside and so they have been more willing to lock in for longer terms. Like I said in my comments and we have been doing fewer short term leases and also have been thinking more about expansion going forward and how to grow their top line.
Todd Thomas – KeyBanc Capital Markets: Okay. We heard from one retail landlord that tenants were delaying their lease signings, so are you seeing that or hearing that at all in any of your conversations today?
Stephen Lebovitz: No. We haven't experienced that.
Todd Thomas – KeyBanc Capital Markets: Okay. And then with regard to some of the short term leases that you signed over the last several quarters, I was wondering, if you could just comment on how the discussions are going with those retailers that are now starting to come up for renewals today and what your expectations for rents and new lease terms with those retailers look like?
Stephen Lebovitz: Yeah. I mean, it’s hard to generalize. Some of them – it really depends on how the sales are going for the retailers. And a lot of the reason we did shorter term renewals is because sales had been soft during the downturn and we wanted to keep the retailers open and they wanted to keep open and see how things were going. So where we have seeing improvement in sales there is more of a willingness to invest money and remodel the stores and do longer term extensions. And then some of the other cases where sales have stayed soft for whatever reason, because of the category being soft or the economy or whatever, then there is continuing to be more short term extensions.
Todd Thomas – KeyBanc Capital Markets: Okay. And then just lastly, you mentioned – John, you mentioned $505 million of availability on your lines. Do you have full availability to that amount, I guess how much actual capacity do you have available on the lines today?
John Foy: We have full availability on that, Todd.
Todd Thomas – KeyBanc Capital Markets: Okay.
John Foy: There is no controls or restraints on that.
Todd Thomas – KeyBanc Capital Markets: Okay. All right. Thank you.
John Foy: Thank you, Todd.
Stephen Lebovitz: Thanks.
Operator: Thank you. Our next question is from the line of Jay Habermann with Goldman Sachs. Please proceed with your question.
Stephen Lebovitz: Hi, Jay.
John Foy: Hi, Jay.
Jay Habermann – Goldman Sachs: Question, Stephen, just back to leasing spreads you mentioned possibly seeing a pickup in the second half of the year. I’m just curious can you give specifics on what drives that, is it you’re seeing fewer of the shorter term deals which obviously, puts less of a depressed, the leasing spread somewhat? Is that what’s driving it?
Stephen Lebovitz: You know, I think that is part of it. There is a lag because sales had gone down and – starting in like late '07, '08, '09 and so then that translates into the lease renewals and some cases some retailers as you know adjusted better to the changed economy than others and we’re able to hold on to their market share and their sales and even gain market share and others didn't. And so the ones where we’ve gotten hit the hardest are retailers who were just slower to respond who didn't cut prices and didn't address what the consumer was looking for. So now, they are looking at their cost of occupancy and it is a tough negotiation because it has gotten higher than they are comfortable with. And so from our point of view, we are looking at do we keep them short term while we find someone to replace them and the market is starting to come back in terms of new deals and expansion so that gives us more options to replace tenants. So, you know, we are doing more of that. But, you know, it is not an overnight process unfortunately, it just takes time.
Jay Habermann – Goldman Sachs: And I guess just trying to get to sort of what level in terms of leasing spread to expect in the second half. I mean, you mentioned the nine leases where it had that negative impact but you mentioned positive 7% for stabilized malls, I guess stripping out those leases you mentioned. Is that a level that you see continuing for some of your centers, that 7% spread?
Stephen Lebovitz: Well, no, no. The 7% was comparing expiring leases in the first quarter, the base rent compared to the base rent of expiring leases in the second quarter. So we had a tougher comp in the second quarter because of the expiring base rent was higher. So, you know, we – we had roughly negative 11% average couple of retailers that we referred to was 4.5%. So that would have put us into the 7 to – 6% or 7% range. So, you know, we will – I can't quote a number, but we are hoping – obviously we want it to turn positive but I'm not sure it will turn that quickly this year. But probably somewhere in the single digits is hopefully where we'll go.
Jay Habermann – Goldman Sachs: Okay. And just, you know, a question on the non-stabilized assets, you know, still hovering around 76%. Can you just give us some sense of how leasing is progressing and when you see that moving more in line with your sort of mall average around 90%?
Stephen Lebovitz: Yeah. I mean it's coming. We have some leases that are out for signature for all those projects. So I mean we expect to make progress over the course of this year and, you know, I think a year from now we will definitely be to comfortably into the 80s on that.
Jay Habermann – Goldman Sachs: Okay. And just lastly, the gap in terms of recoveries, if you look at the change year-over-year, is that purely due to the shorter term leases? Is that affecting your recovery rate or is it anything else in terms of new leases being struck without the recapture?
Stephen Lebovitz: No. You hit the nail right on the head. It is what you basically said, Jay.
Jay Habermann – Goldman Sachs: Okay. Thanks, guys.
Stephen Lebovitz: Sure.
Operator: Thank you. Our next question comes from the line of Paul Morgan with Morgan Stanley. Please proceed with your question.
John Foy: Hi, Paul.
Stephen Lebovitz: Hi.
Paul Morgan – Morgan Stanley: Good morning. So on your leasing metrics, I mean you said you did about 725,000 of new leases. On the spread data, I can see the metrics for like 200,000 of those in the quarter. So kind of what are the other 500,000? I mean is that stuff that is somehow categorized as not same space or is it all kind of Junior Anchor and Anchor space?
Stephen Lebovitz: It's both. It's boxes. You know, we’ve got a fair amount of box leasing activity going on. It’s spaces over 10,000 square feet. So it is kind of mini Anchors and then some is non-comp space.
Paul Morgan – Morgan Stanley: And just kind of refresh me kind of what you categorize as non-comp space? If there is some re-demising of the walls type thing, that is non-comp?
Stephen Lebovitz: Yeah, where the space changed where we had to take a couple of spaces and create a totally different sized retailers from them. So I mean we are pretty much if it's close, we will include it. But if it is something where it is just a total different configuration, a lot of times we will take storage space and some of the deals involve capturing. We will go out into like a loading dock or things like that where it is just taking space that hadn't been used before and now it is being converted to rentable space.
Paul Morgan – Morgan Stanley: Could you just talk about some of the bigger boxes that you saw maybe this year that are – where you are getting some of that absorption?
Stephen Lebovitz: Sure. I mean we have continued to do a lot of activity with certain boxes like Encore shoes is one. That has taken some of the former Steve & Barry's spaces. We have done Jo-Ann Fabrics in a number of the malls where they have taken spaces that were previously occupied. Goldman is a retailer that we just did a new deal with in, reprising a vacant box. So it’s been – it's been a real combination of retailers that we have been working with. So, you know, it is hard to generalize. We just opened Gillian's [ph], I don't know if you are familiar with them. They are a more kind of like a Dave & Busters where they got games and entertainment and that is the first one in our portfolio. We opened a Best Buy this quarter. We opened some of the boxes in some of the new projects. You know, so it is really a combination, a couple of furniture stores and so that I guess that is a good sampling of this.
Paul Morgan – Morgan Stanley: Yeah. That's helpful. On the shorter-term leases, I guess you're probably getting up to the point where you're rolling some of the ones that would have been done in '08 and early '09. And I mean what is the experience so far in terms of whether you can comp those possibly as they either sign for longer term or just roll over the renewal again? I mean is it kind of flat? Is it better than your average or worse than your average or about the same?
John Foy: It is about the same. It is just different cases. Some are better, some are worse but on average it is about the same as we had been.
Paul Morgan – Morgan Stanley: Okay. As the overall portfolio average metrics or actually flat?
John Foy: Say that again, Paul.
Stephen Lebovitz: Yeah, it is about average because you can see our rents have held up. I mean there have been some decrease but not as much as the lease spreads would have indicated.
Paul Morgan – Morgan Stanley: Okay. Okay. And then last question on Ocala, are any of the malls where you have similar type of conversations with the lenders for short sale type things?
Stephen Lebovitz: No. There are no more hollows out there. Okay.
Paul Morgan – Morgan Stanley: Thanks.
Operator: Thank you. Our next question comes from the line of Jim Sullivan with Cowen and Company. Please proceed with your question.
Stephen Lebovitz: Hi, Jim.
Jim Sullivan – Cowen and Company: Hi. Good morning. Just wanted to follow up on the operating cost recovery ratio and the decline, last year in the second quarter was exceptionally high. And I'm just curious and I know this number this year seems to be a little closer to what I will call the historical trend line but question I have is what percentage of your tenants are now on fixed CAM and is that number rising or not? And do you expect in the future that this will be – this will be better than 100% number?
John Foy: Yeah, it is about 85% to 90% today, Jim. And we don't see that rising with certain of those tenants. So I think, you know, as their leases come up those that haven't converted we'll probably get the conversion on those. So we are basically where we are today.
Jim Sullivan – Cowen and Company: Okay. And just to revisit the issue of the assets that have been written down at the end of last year when you wrote down a couple of the other assets there was discussion about possibly redeveloping two of the assets and then with the respect to the third, there was a plan or you would consider a plan to re-tenant the asset with non-retail uses. And I just wonder if you can update us on the progress and whatever you have reached on those three assets.
Stephen Lebovitz: With the center that we are re-tenanting, the Hickory Hollow Mall in Nashville, Tennessee. Unfortunate situation occurred with regard to the flood there. We’ve been able to lease 120,000 square feet to FEMA on a three month lease. And they have continued to extend that, so that is going forward. We are also moving forward with some other uses for that project, which hopefully will come to fruition within the next 90 to 120 days where we can announce something. So we’re making good progress there. On the other two assets, we are continuing to explore the redevelopment and there is some interest from outside parties and that as well as to possibly acquiring those assets. So we are making progress on those three assets that we took the impairment on at the end of the first – at the end of last year.
Jim Sullivan – Cowen and Company: And in the case of Oak Hollow, is the buyer likely to maintain the asset as a mall or converted to different use?
Stephen Lebovitz: I think that we don't know exactly what his plans are but I think that the city would love to see it stay at least a portion of it as retail. So I think that is what he is pursuing and there is possibly other uses but that we don’t – he has not given us a definitive answer as to what he intends to do with it. But we think that these negotiations went on very quickly. And so I think he is very positive with his ideas of what to do with that project.
Jim Sullivan – Cowen and Company: Okay. And just to – not to beat a dead horse here but maybe to let's treat it as a post mortem. But in the case of Oak Hollow, I think this asset was developed as I recall about 1995. And I know you displaced another asset in the market that was Westchester at that time and I'm just curious if you look back as to why this development didn't succeed. Would you attribute it to changes in that market or was it just that the market didn't grow as you projected it to when you built the asset initially?
Stephen Lebovitz: Yeah. I mean, Jim, the market just totally changed. I mean the furniture industry just disappeared from that whole part of the country and moved overseas. And when we developed that mall, the furniture industry was very viable and dynamic in that area. And it actually had a real good opening and a good start. But when the job losses hit and the economy went south and they really haven't been able to recover, the merchandise mart that Bernado bought is – they have give it back to the lender and that is another impact from just the furniture business leaving high point and leaving the triad.
Jim Sullivan – Cowen and Company: So you wouldn't attribute any of it to any material come competition from a lifestyle center or some other product in the market that took to increase its share of the retail sales?
Stephen Lebovitz: No. No, not in that case.
Jim Sullivan – Cowen and Company: Not at all?
Stephen Lebovitz: Not at all.
Jim Sullivan – Cowen and Company: Okay. Great. Thanks very much.
Stephen Lebovitz: Thank you.
John Foy: Thank you.
Operator: Thank you. Our next question is from the line of Ben Yang with Keefe Bruyette & Woods. Please proceed with your question.
Ben Yang – Keefe Bruyette & Woods: Hi, good morning.
Stephen Lebovitz: Hi, Ben.
Ben Yang – Keefe Bruyette & Woods: Given the short-term leases, you’ve been doing over the past year or so. I assume you face sizeable expirations in 2011 and '12 and since you guys don't update your expiration schedule every quarter can you just tell us what that number looks like today. I mean does 40% of your GLA expire over the next two years possibly?
Stephen Lebovitz: No, it doesn't. And I think what we focused on Ben is that we are focused on that because of the refinancing and so on. And so we are cognizant of that, we feel okay with where we are. Needless to say, we’d like it to be better but we are very, very comfortable with where it is today. It will continue to somewhat come down as the economy improve and as Stephen as alluded to gaining traction with regard to leasing. But we are comfortable with where it is and our refinancing basically show that it has no impact and what we have seen today. We are comfortable.
Ben Yang – Keefe Bruyette & Woods: I mean, what is that number today because at the end the last year, it was about 25% of your expirations and curious at what point do you start to get concerned and maybe do you have more near-term leasing risk and that maybe you make more sense to sign some of your tenants to longer term deals even if you think that those rents might be below market?
Stephen Lebovitz: It just has the changed that much, Ben. I mean, there is a fair number of deals but in the grand scheme of the total GLA of the company it just doesn't move the needle that much. So I think you are just making something an issue that really isn't an issue.
Ben Yang – Keefe Bruyette & Woods: Okay. And then switching gears, grand view the development, is there anything in particular driving that lower yield on that project?
Stephen Lebovitz: Yeah, we had some changes to the plans and specs that resulted in some change orders and these should help with regard to the Phase 2 like some electrical lines that were pulled et cetera. So that’s what impacted. It was some change orders and in order to make the timing schedules.
Ben Yang – Keefe Bruyette & Woods: Okay. So overall you are still expecting about a 10% yield for the entire project?
Stephen Lebovitz: Yeah. It is in that 9% to 10% range on the total overall project.
Ben Yang – Keefe Bruyette & Woods: Okay. And then just final question, Stephen, I think in your prepared remarks you said that you saw continued positive sales growth in the portfolio. What was the same store sales number for the quarter because looking at the trends, it looks like your sales actually fell during the second quarter.
Stephen Lebovitz: Yeah. Sales were – they were down a little bit for the second quarter with Easter being early this year, April sales were down. But, you know, May and June were up and so we have seen a good trend. Overall quarter because of April was down a little bit but sales especially June and going forward are – we’re really encouraged by what we are seeing.
Ben Yang – Keefe Bruyette & Woods: Okay. So during the quarter, it actually wasn't negative, I guess. Because of the positive growth, you reported during the latter half of the quarter?
Stephen Lebovitz: For the whole quarter, it was negative. At the end of the first quarter, we were up a little more than 4.5% and now we are – we are up about a little more than 2% for the six months. So it was – it was negative on a combined basis.
Ben Yang – Keefe Bruyette & Woods: Great. Thank you.
Stephen Lebovitz: Thanks, Ben.
John Foy: Thanks, Ben.
Operator: Thank you. Our next question comes from the line of Carol Kemple with Hilliard Lyons. Please proceed with your question.
John Foy: Hi Carol.
Carol Kemple – Hilliard Lyons: Good morning. Hi. Are you starting to see any seasonal shops for the holiday season sign leases in the malls and how toes that traffic compare to last year at this point?
Stephen Lebovitz: Yeah. That’s actually – We are up in our specialty leasing in kind of the high single digit range, so we are encouraged by the trend and that is really driven by traffic being up so, we have gotten off to a good start on that for the year. We are starting to see some the Halloween stores, are going to be opening really soon and that has become a real strong business for the temporaries in the – September, October time frame Toys 'R' Us has opened some stores, some of their pop-up stores that they are starting to do. And so we are getting some of those in our portfolio this year. And a number of retailers are kind of experimenting with the pop-up store concept and we have had a couple that opened last year that have been wanting to convert to permanent deals. So that has worked well as an incubator type program for us.
Carol Kemple – Hilliard Lyons: Okay. And on your extinguishment of debt gain that you are expected to take for modeling purposes, is that more likely to be in the third or fourth quarter of this year?
John Foy: We think it is probably – more likely for the year end.
Carol Kemple – Hilliard Lyons: Okay. Fourth quarter. Okay. Thank you.
John Foy: Thanks.
Operator: Thank you. Our next question comes from the line of Quentin Velleley with Citi. Please proceed with your question.
Quentin Velleley – Citi: Good morning.
Stephen Lebovitz: Hi, Quentin. How are you?
Quentin Velleley – Citi: Good. Just in terms of the – selling those two weaker assets which is obviously a positive. David, I know earlier on in your prepared remarks, you spoke about selling other non-core assets and I know that’s the grocery anchored portfolio. But how do you think about your other non-core assets, are they some of the malls with productivity, beyond 200 bucks a core or is it some of the other community centers? I'm curious what you might intend to sell as non-core assets?
Stephen Lebovitz: We have some office buildings that we had bought as part of the Starmount acquisition. That is something that we would consider non-core. We’ve over the years sold the community centers when they stabilized and that has been a source of equity that we have used to redeploy into other investments. And then with Del Rio, that was an asset that we were able to sell this quarter. And with the low sales per square foot, we still got a good cap rate for it and so if we can get the right pricing for some of the lower sales productivity malls then that’s something that we would go forward with as well.
Quentin Velleley – Citi: Is there a market starting to emerge for those, really low productivity malls and who was the purchaser of Del Rio?
Stephen Lebovitz: Mostly, the purchaser for those kind of assets are local buyers and so it takes a lot of work to kind of come through and find the types of investors. It is not institutional quality, but we got people in the company dedicated to finding the right buyers for those kind of assets.
Quentin Velleley – Citi: Okay. And with Oak Hollow, I know it was a big positive having a non-recourse loan on that property. That wasn't the case with Hickory Hollow which had recourse. Of your, sort of your $400 million or $500 million of debt that has recourse, how much of that is sort of in the lower quartile of the mall portfolio in terms of the quality?
John Foy: On Rivergate, we acquired that mall and at the time of the acquisition it was cross defaulted with Rivergate, so that is the reason why it didn't work from that standpoint and so. Rivergate is basically showing some great turnaround as a result of that and so we refinanced Rivergate and we had to pay or do this with regard to Hickory Hollow. We have very few of those that basically are in place today and so we look at that and we think that the non-recourse nature of these loans is a very important thing to us.
Quentin Velleley – Citi: Okay. So very few of your weaker assets have recourse?
Stephen Lebovitz: Yeah, mostly it is some of the newer properties that are on construction loans that we haven't placed longer term debt on that, is where the recourse comes into play.
Quentin Velleley – Citi: Okay. Thank you.
Stephen Lebovitz: Thanks, Quentin.
Operator: Thank you. Our next question comes from the line of Christy McElroy with UBS. Please proceed with your question.
Christy McElroy – UBS: Hey, good morning, guys.
Stephen Lebovitz: Hi, Christy.
Christy McElroy – UBS: You have been talking a lot about signing more shorter term leases. Can you talk a little bit about signing the shorter term leases in the context of your TIs trending higher, in terms of how much you're spending on TIs per lease year?
Stephen Lebovitz: I think the TIs really come from the boxes, Christy, for the renewals we hardly ever – I would say never but I'm sure there is a couple that slipped through, do any kind of TI on renewals. And so the TIs are really because of the higher box activity and backfilling those boxes that we have done in some of the larger spaces. Also, some of the restaurants – we have gotten good activity with our restaurant additions this year and I mean that is a business that has come back and we are really pleased with the results, just being able to add a number of restaurants to the portfolio but those typically involve some kind of tenant allowance and that is in there as well.
Christy McElroy – UBS: So is it fair to say that you are spending less TI dollars on the shorter team leases that you are signing?
Stephen Lebovitz: Yes.
Christy McElroy – UBS: Okay. And then regarding the extension modification of the secured credit facility. What other mod modifications were made – any changes to covenants or the cap rate used to calculate the borrowing base or are the lenders requiring any additional pledged capital.
Stephen Lebovitz: Not on the ones that we just recently did.
Christy McElroy – UBS: No other changes. Okay. What percentage of your in-line space is currently occupied by temporary tenants of leases under a year?
John Foy: Yeah, It is not that significant. Probably, 100 to 150 basis points.
Christy McElroy – UBS: Okay. And I would imagine that would go up sort of in the second half?
Stephen Lebovitz: Yeah. It goes up for the fourth quarter somewhat. So it probably ends up, 2% to 3%.
Christy McElroy – UBS: Okay. And then John, you walked through the 5% – the $0.05 increase in guidance. On top of the penny impact because of the debt extinguishment net of the impairment, you said that the other change was the favorable interest rate environment. Does that account for the other $0.04 or is there something else there? Is doesn't seem like any other assumptions have changed.
John Foy: No. I think just the interest expense numbers has basically been the focus as well.
Christy McElroy – UBS: Okay. So $0.04 of favorable interest expense impact.
John Foy: Right around that number, yes.
Christy McElroy – UBS: Okay. And then just really quick lastly, given some of the changes at some of your malls, Oak Hollow, Hickory Hollow, can you remind us which malls are been stripped out of your releasing spread calculations and your same store portfolio for the purpose of calculating NOI growth and sales growth.
Stephen Lebovitz: No. We don't strip malls out. Everything is in there, Hickory Hollow, Oak Hollow. They are all in the same store NOI and releasing spread numbers.
Christy McElroy – UBS: Okay. That's helpful. Thank you.
Stephen Lebovitz: Thanks.
Operator: Thank you. Our next question comes from the line of Ross Nussbaum with UBS. Please proceed with your question.
Stephen Lebovitz: Hey, Ross.
John Foy: Hey, Ross.
Ross Nussbaum – UBS: Yeah, what Christy asked. On the star month portfolio I know the debt there doesn't mature until 2013 and it is in a JV. Is there any reasonable equity value left to the extent that if you did sell those properties maybe that is a question? Given the decline in values there and you bought them in '07, is there any equity left in those buildings?
Stephen Lebovitz: Yeah, I mean there is actually, pretty strong equity value. A couple of the centers that we bought in that portfolio that aren't in the JV are part of the six supermarket anchored centers that we have got on the market. And like we said, we got real good interest in those. The NOIs have held up or grown, sales for the Friendly Center are up really healthy this year. So we feel comfortable with our ability to repay that line of credit.
Ross Nussbaum – UBS: And from a capital planning standpoint in terms of the remaining maturities that you have this year and looking ahead into next year, how much have you budgeted, if any, for paydown on any of refinancing?
Stephen Lebovitz: We have significant amortization in the range of $70 million to $80 million a year, just on our normal amortization. And in our plans we anticipated that we would have some paydowns and we will have sufficient cash flows as well to more than cover anything that needs to be covered.
Ross Nussbaum – UBS: Do you have a number on roughly what that amounts to?
Stephen Lebovitz: It is basically going to be flat.
Ross Nussbaum – UBS: Okay. Thank you.
Stephen Lebovitz: Thanks.
Operator: Thank you. Our next question comes from the line of Nathan Isbee with Stifel Nicolaus. Please proceed with your question.
Nathan Isbee – Stifel Nicolaus: Good morning. Getting back to the latter half of 2010 and the rent spreads you pointed to the expiring rents in 2Q being higher than 1Q. Can you talk a little bit about the expiring rents in the second part of 2010?
Stephen Lebovitz: I think the leases that are expiring there are kind of more in the normalized level, closer to where they were in the first quarter.
Nathan Isbee – Stifel Nicolaus: Okay. And if a few times over the last year and a half or so you have talked about a specific batch of leases that have weighed on your re-leasing spreads. Looking ahead to the second half are you comfortable that there are know of those quote, unquote, specific batches that are going to weigh on the lease spreads?
Stephen Lebovitz: There is always going to be a few. And the reason we point that out is because it is a disproportionate influence. There is a couple of retailers that – we are continuing to have negotiations with for leases either expiring later in the year or next year that we know are going to have negative spreads and so what we are doing is planning for that, working on replacements aggressively so we can hold up – hold those rents and also talking to the retailer and working with them to try to preserve the income on a basis that is most favorable to us.
Nathan Isbee – Stifel Nicolaus: I mean you had mentioned 70,000 square feet out of $1.2 million impacting our lease spreads by 4%. Those would have had to have been pretty significantly down in order to impact that much so I'm just trying to gage. Do you see anything with that dire an outlook in terms of the re-leasing spreads in there?
Stephen Lebovitz: It wasn't out of the whole 1.2. It was only out of the 500,000 so it was about 12% of that number that was those leases. So that is why it had an impact. But there were some retailers that had sales down, 20%, 30% over the '08, '09 period and as those leases come up then we are being impacted.
Nathan Isbee – Stifel Nicolaus: All right. And just one final question. You had talked then I think the last call, with the expectation once the GGP issue was resolved that potential institutional buyers with be more willing to talk. Have you had more substantive conversations with the institutional buyers when you say that there has been any sort of progress towards getting a deal done?
Stephen Lebovitz: We really focused a lot on these last sales like the Del Rio one and then this grocery anchored, so we focused on that but we have had one or two institutional folks come to chat Chattanooga and visit with us and outline their thoughts and proposals. And we are outlining back to them our thoughts and proposals and there are different groups that we continue to talk who have different horizons as to how they want to invest their money. So that’s why we are in the process of continuing those negotiations or discussions with those folks.
Nathan Isbee – Stifel Nicolaus: All right. Thank you.
Stephen Lebovitz: Thanks, Nate.
John Foy: Thank you, Nate.
Operator: Thank you. There appear to be no further questions at this time. Mr. Lebovitz, I will now turn the conference back over to you for closing remarks.
Stephen Lebovitz: Well, we would just like to thank everyone for joining us this morning. And we appreciate your time and also your support of CBL and we are looking forward to continuing good results and having an even stronger second half of this year. Thank you.
Operator: Ladies and gentlemen, that does conclude the conference call for today. We thank you for your participation and we ask that you disconnect your lines. Thank you.